Operator: Ladies and gentlemen, thank you for standing by, and welcome to the NVE Conference Call on Third Quarter Results. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference may be recorded. [Operator Instructions] I would now like to hand the conference over to your speaker for today, Dan Baker. You may begin.
Daniel Baker: Good afternoon, and welcome to our conference call for the quarter ended December 31, 2020. As always, I’m joined by Curt Reynders, our Chief Financial Officer. This call is being webcast live and being recorded. A replay will be available through our website, nve.com. And after my opening comments, Curt will present a financial review of the quarter and I’ll cover the business and then we’ll open the call to questions. We issued our press release and filed our quarterly report on Form 10-Q in the past hour following the close of market. Links to documents are available through the SEC’s website, our website and our Twitter time line. Comments we may make that relate to future plans, events, financial results or performance are forward-looking statements that are subject to certain risks and uncertainties, including, among others, such factors as risks and uncertainties related to future sales and revenue, uncertainties related to future stock repurchases and dividend payments, and risks related to the COVID-19 pandemic, as well as the risk factors listed from time to time in our filings with the SEC, including our annual report on Form 10-K for the fiscal year ended March 31, 2020 as updated in our just filed quarterly report on Form 10-Q. Actual results could differ materially from the information provided and we undertake no obligation to update forward-looking statements we may make. We’re pleased to report our best quarter in two years as the effects of the COVID-19 pandemic on our business are subsiding. We reported a 5% increase in net income to $0.81 per share, driven by a 3% increase in product sales. Now Curt will cover the details of our financials. Curt?
Curt Reynders: Thanks, Dan. Total revenue for the quarter ended December 31, 2020 increased 1%, compared to last year due to a 3% increase in product sales, partially offset by a 34% decrease in contract R&D revenue. The increase in product sales was despite the continued impact of the COVID-19 pandemic, although those effects appear to be subsiding. The decrease in contract R&D in the third quarter of fiscal 2021 was due to the completion of certain contracts. Total revenue increased 49% sequentially compared to the immediately prior second quarter and net income increased 77%. Expenses decreased 8% for the third quarter from the prior year, due to a 9% decrease in R&D and a 5% decrease in SG&A. The decrease in R&D expense was due to the completion of some new product developments. The decrease in SG&A was due to staffing changes. Interest income for the third quarter decreased 18% due to a decrease in our marketable securities and money market funds and a decrease in the average interest rates on those securities and funds. Net income for the quarter was $3.93 million, or $0.81 per diluted share, compared to $3.73 million, or $0.77 last year. Our gross margin was a record 84%, driven by a more profitable revenue mix and net margin was a record 60%. We paid a $1 per share dividend in the past quarter, and today, we announced that our Board declared another quarterly dividend of $1 per share payable February 26th to shareholders of record as of February 1st. For the first nine months of the fiscal year, total revenue decreased 20% due to a 19% decrease in product sales and a 21% decrease in contract R&D, as revenues were impacted by the COVID-19 pandemic. Net income for the first nine months decreased to 23% to $8.56 million, or $1.77 per share, compared to $11.2 million, or $2.30 per share last fiscal year. For the nine months, we paid $14.5 million in dividends and repurchased $91,000 of stock. Even with those returns to our shareholders, our balance sheet remains strong, with cash plus marketable securities of $65.8 million as of December 31. Now, I’ll turn the call back to Dan to cover the business. Dan?
Daniel Baker: Thanks, Curt. I’ll cover the business and review 2020. In the past quarter, we continue to work on new sensors and coupler products. We also worked on continuously improving our existing products. For example, our flagship IL700 Series line of spintronic couplers was introduced more than 20 years ago, but it’s still the best in the industry. In the past quarter, we improved the key specification for those parts called the Common Mode Transient Immunity or CMTI. CMTI is an important specification for improving power control efficiency in applications such as motor control, hybrid electric vehicles and battery charging. We’re working with our German distributor to target the upgraded parts for the electric vehicle, onboard charging circuitry and charging stations. We’re proud to supply products to some of the world’s most demanding customers, including Abbott’s Pacesetter subsidiary. In December, we extended our supplier partnering agreement with Abbott, which would have expired at the end of 2020 into May. The four-month extension gives us time to negotiate a long-term amendment. The extension was filed with the SEC is a material definitive agreement and is available via our website. 2020 was a challenging year, but we had some important accomplishments that lay the groundwork for the future. In addition to the Abbott extension, in 2020, we extended our supply agreement with Sonova, a leading hearing care supplier into 2025 and we extended our building lease into 2026. We enhance shareholder value by returning more than $20 million to shareholders in dividends and stock repurchases in the calendar year. It was also a productive year for R&D, including new high-field magnetic sensors and switches for MRI tolerant medical devices, the introduction of data couplers with best-in-class Common Mode Transient Immunity for energy-efficient motor control, a new family of ultra-precise tunneling magnetoresistance mode -- motion sensors for robotics and factory automation, the launch of the world’s smallest DC to DC converters to transmit power, as well as data in industrial networks and cars, and new smart sensors for more versatile connectivity. Smart sensors have been one of our R&D thrusts the past several years. In the past quarter, the Semiconductor Industry Association previewed its so-called decade-old or 10-year plan, which identifies five areas, it says will shape the future of chip technology. The first of those five areas is smart sensing. With a number of new products in the past year, we’re looking forward to the possibility of trade shows in 2021. Two big trade shows for us have been scheduled for June, Sensor+Test in Germany, which is billed as the industry’s largest event dedicated to sensors, connectivity and sensor -- systems, and Sensors EXPO in San Jose, build as North America’s largest event dedicated to sensors, connectivity and the Internet of Things. Now, I’d like to open the call for questions. Towanda?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jeff Bernstein with Cowen. Your line is open.
Jeff Bernstein: Hey, guys. Congratulations. It’s a great quarter. I think you had originally guided for revenue to be a little less robust and not up year-to-year. So I’m curious if you can maybe walk us through sort of cancellations, push outs, whether pull-ins, sort of what happened through the last couple quarters here?
Curt Reynders: Yes. I can take that, Jeff. As I mentioned in the prepared remarks, the effects of the pandemic on us appears to be subsiding, although there’s still a lot of uncertainty. The worldwide semiconductor market is strong. The outlook for electric -- elective medical devices appears to be improving. Revenue in the current quarter based on our forecasts, orders and what we’ve been hearing, we currently expect the revenue to be slightly less than last fiscal year. We are starting to see a lot of orders being pulled in. In the third quarter, our most recent quarter, we did have some orders that were pulled into that quarter. So we ended up a little bit better off than we originally expected earlier in the quarter.
Jeff Bernstein: Gotcha. And then, obviously, there has been this kind of sudden stop/start and we’re hearing about auto factories having to suspend operations for a week or two waiting for parts and various pieces of the supply chain kind of getting backed up. In terms of inventory that could be out there in the channel or that kind of seems like probably the channel has been drained and now people are trying to bulk back up. But how do you guys sort of keep tabs on what’s going on out there and understand if you’re getting into kind of a heated situation with double ordering or that kind of thing?
Daniel Baker: Yes. This is Dan. I can answer that. Maybe Curt can add some color as well. But we haven’t experienced any significant material shortages, but lead times have lengthened for some raw materials and services. So we see that as both a threat and an opportunity. We’ve always carried ample inventories, as we talked about before, to guard against contingencies and we’re addressing the threat of shortages by building inventories of critical raw materials, such as foundry wafers, which are semiconductor products that we buy and incorporate into our end products as raw material. So we’re well positioned to weather those sorts of shortages. We’re not -- we don’t keep our inventories as lean as perhaps the automotive industry does by any means. And then we’re also addressing the opportunity, which is that we can help customers who are facing shortage from -- shortages from traditional suppliers or our competitors. So we see it as an opportunity to pick up share, and our folks are constantly monitoring, our critical suppliers are in close contact and making sure that we have adequate inventories for any kind of contingency or shortages.
Jeff Bernstein: So, Dan, is there some pin compatibility on some of these parts where you can actually fill in for somebody else who -- where there’s parts shortages? Or does it take a new board design for somebody to be able to accommodate your parts?
Daniel Baker: In many cases, we have dropped in replacements, Jeff. We design our isolators, our couplers, for example, to use the old optical coupler pin outs. So we also use some of the older packages. So what are called PDIPs or Dual Inline Packages. So if customers are short of traditional semiconductor products, such as optical couplers, they can use our products with a minimum of redesign. And in some cases, they might need to or they might want to change their circuit boards to take advantage of some of our parts. We have the smallest parts in the industry. But we also have parts that are designed to replace legacy semiconductor parts, so that it’s easy for our customers to migrate to our parts from traditional semiconductors and that’s always been our philosophy. We try to make our products, as you know, have exotic technology and best-in-class performance. But we want to make sure that our -- that they’re easy for our customers to change too.
Jeff Bernstein: So this may actually be an opportunity to get in front of some automotive guys who are living hand to mouth right now in parts?
Daniel Baker: Exactly.
Jeff Bernstein: Yes. Okay. That’s great. Can you give us any kind of view on what the book-to-bill was in the quarter?
Daniel Baker: We don’t track that precisely, because it’s a metric that’s more useful for commodity semiconductor suppliers. But as Curt mentioned, we had some orders that were pulled in. So we had orders that were unexpected. We were able to fulfill them. Otherwise, of course, they wouldn’t have counted for revenue. So having inventories and having hedges against contingencies, I think, has paid off.
Jeff Bernstein: Gotcha. Okay, great. And then, obviously, you’ve had to change the way that you’re selling because of the pandemic and you’ve done some things with – you’ve worked with SnapEDA on downloadable EDA files, you redid your website, et cetera. Anything else that’s changed and how are you progressing in this new era?
Daniel Baker: Right. Well, we’re doing a lot more Skype and Zoom calls, of course, like most folks. Our distributors and private label partners are also doing the same thing. So we’re talking to them and talking to our customers. We’re using the opportunity to train our distributors on some of our new products. They’re mostly at home or in their offices. So we have an opportunity to get them together, that we don’t have when they’re traveling. An example of a distributor partnership, I mentioned it briefly in the prepared remarks is that our German distributor is working on OBC, that’s an onboard charger platform reference design for the electronics in a hybrid electric vehicle -- an electric vehicle, in this case, to interface the AC line voltage to the charging -- to charging the batteries in a car. And so that’s a great opportunity that our distributor has helped facilitate. And there are other smaller opportunities that we’re finding with our distributors to address new markets and to get into markets that we’ve targeted in the past, such as automotive and the industrial Internet of Things.
Jeff Bernstein: That’s great. Thanks. I’ll let somebody else ask some questions. Thanks.
Daniel Baker: Thanks, Jeff.
Operator: Thank you. [Operator Instructions] I’m showing no further questions in the queue. We do have a follow up question from Jeff Bernstein.
Jeff Bernstein: All right. Dan, so can you talk a little bit about the PUF business, that’s been a little unpredictable in terms of macro economic impacts. But what -- what’s your visibility on that the next few quarters?
Daniel Baker: Right. So PUFs are Physical Unclonable Functions, which is a function that’s embodied in a physical structure that’s easy to evaluate but hard to predict and replicate. So they’re an important component of our Spintronic anti-tamper systems and anti-tamper systems are designed to protect sensitive data or electronics, primarily for military systems. So those businesses can be fairly lumpy and that they tend to be intermittent orders, but we continue to see that as an important business. It’s not a huge contributor to our revenue. It was fairly strong in the most recent quarter. But -- and I think part of what’s contributing to Curt’s tempered outlook for the current quarter is that it may not be quite as strong year-over-year, some of that got pulled in, but it remains a significant business and it’s also a business that builds intellectual property. As you know, Jeff, that we can use in commercial products. So we see it as important strategically and it’s a business where we have a good reputation. We’ve been in it for a long time and our technology is extremely well suited for it. So we continue to devote a significant effort there. Related area is MRAM or Spintronic memory, where we use the memory for cryptokeys and for security, and we continue to develop and sell MRAM into that space and that’s valuable intellectual property we believe. And so this business or this general category of business, the anti-tamper business allows us to develop that technology and because it’s mostly customer funded, it’s technology where we can accrue some benefits without having a large expense and R&D expense.
Jeff Bernstein: Does the MRAM for cryptokeys and security, there are commercial applications now for that and is the -- obviously there was the big solar winds issue recently, is that changing the outlook for that business at all?
Daniel Baker: Yes. We do see potential commercial applications, including high-speed encryption and security for consumer electronics and for data streams. And as you mentioned, that continues to be an issue to secure all of the communications that there’s so much communication that goes electronically. So it’s longer term, but we do see commercial applications and that’s one of the reasons why we consider this business area important even though it’s not a huge revenue driver right now.
Jeff Bernstein: Okay. And then can you just talk a little bit about the hearing aid market, I guess, you have one when in a next-gen type of hearing aid, and obviously, the FDA work has been delayed, but I guess by the end of the year, hopefully, they’re going to have rules on the OTC market, et cetera. But any new wins or anything else to report in terms of how that’s developing?
Daniel Baker: Well, we continue to see it as an important market. As you pointed out, the FDA has not yet formally approved so called over-the-counter hearing aids, but it appears that could be in the -- still in the first half of 2021. So that’s a -- that’s an excellent market and then also in your audio devices, so called hearables, which would be for people with normal hearing, but as a peripheral. That’s estimated to become nearly $100 billion market by 2026, with a compounded annual growth rate of 17%. So it’s an excellent market. As you point out, we have some early-stage design wins in that space. We began offering sensors that are compatible with rechargeable batteries that are often used in consumer wearables rather than the disposable batteries that are generally used in traditional hearing aids. So we have products. It’s an excellent market, both the hearables market and the over-the-counter hearing aid market. And we’re going to continue our development and hopefully that will -- the market will accelerate once the FDA acts.
Jeff Bernstein: That’s great. Thanks very much.
Daniel Baker: Thanks, Jeff.
Operator: Thank you. [Operator Instructions] I’m showing no further questions in the queue.
Daniel Baker: Well, if there are no other questions, we were pleased to report our best quarter in two years despite the challenges of the pandemic. We look forward to speaking with you again in early May to discuss fourth quarter and full fiscal year results. Stay safe everyone and thank you for participating in the call.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.